Cyndi Holt: Good morning, everyone. I’m Cyndi Holt, Vice President, Finance and Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers’ First Quarter 2013 Conference Call. Yesterday, we issued this quarter’s earnings release, as well as our supplemental information package and investor presentation. This information is available on our website under the Investor Relations tab. Please note that during this conference call, some of management’s comments will be forward-looking statements including statements regarding the company’s property operations, leasing, tenant sales trends, development, acquisition, expansion activities, as well as their comments regarding the company’s funds from operations, funds available for distribution and dividends. These forward-looking statements are subject to numerous risks and uncertainties and actual results could differ materially from those projected due to factors including, but not limited to, changes in economic and real estate conditions, the availability and cost of capital, the company’s ongoing ability to lease, develop and acquire properties, as well as potential tenant bankruptcies and competition. We direct you to the company’s filings with the Securities and Exchange Commission for a detailed discussion of the risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP measures to the comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to know that management comments include time sensitive information that may be accurate only as of today’s date May 1, 2013. At this time, all participants are in listen only mode. Following management’s prepared comments, the call will be opened up for your questions. We ask you to limit your questions to two, so that all callers will have the opportunity to ask questions. On the call today will be Steven Tanger, President and Chief Executive Officer, and Frank Marchisello, Executive Vice President and Chief Financial Officer. I will now turn the call over to Steven Tanger. Please go ahead, Steve.
Steven B. Tanger: Thank you, Cyndi and good morning, everyone. 2013 is off to a great start as we have achieved significant milestones in the first quarter. Average occupancy within our consolidated portfolio was 98% at March 31, 2013, a Tanger record high for first quarter occupancy. Same-center net operating income growth of 3.9% during the quarter on top of a 6.2% income increased in Q1 2012 extends our streak of positive same-center NOI growth to 33 consecutive quarters dating back to the first quarter of 2005 when we began tracking this metric. This internal growth combined with the expansion of our footprint by 8.1% with the addition of four new joint venture properties in the United States and Canada during the fourth quarter of last year resulted in FFO per share growth of 16.7% during the first quarter of 2013. We are proud of achieving significant portfolio expansion while maintaining a balance sheet that is a fortress. According to KeyBanc’s leadership report as of the end of March, our low leverage is best-in-class for the mall sector in terms of debt-to-total market capitalization, total debt to recurring EBITDA and recurring EBITDA to interest expense. Tanger also ranked at the top of the mall REITs in total return for both the five and ten-year periods with total returns of 122% and 615% respectively. I know that many of you want to learn more about our various development projects. But first, let me turn the call over to Frank, who will take you through our financial results. I will then follow-up with the discussion of our operating performance, our development pipeline and our current expectations for the balance of 2013.
Frank C. Marchisello: Thank you, Steve, and good morning, everyone. Our reported first quarter funds from operations or FFO of $0.42 per share beat expectations by a $0.01 and represented a 16.7% growth from our $0.36 per share last year. This year-over-year increase is a direct result of the opening of two new developments in the U.S. and the acquisition of two existing centers in Canada late last year as well as our ability to continue to drive rental rates and grow same center NOI. With low average tenant occupancy cost at 8.4% for 2012 and comparable marketplace occupancy ratios that are 300 basis points or more above our consolidated portfolio average, we believe that internal growth will continue. On a consolidated basis, our total market capitalization at March 31, 2013 was approximately $4.7 billion, up 17.6% from $4 billion last year. Our debt-to-total market capitalization was approximately 23.3% at March 31, 2013, compared to 26.1% last year. We also maintain a strong interest coverage ratio of 3.95 times for the first quarter of 2013, up from 3.9 times for the first quarter of 2012. Our balance sheet strategy continues to be conservative targeting minimal use of secured financing and a manageable schedule of debt maturities. Approximately 92% for our consolidated gross leasable area is unencumbered by mortgages and we have no significant maturities on our balance sheet before November of 2015. On April 4, 2013 our Board of Directors approved a 7.1% increase in the annual cash divided on our common shares from $0.84 per share to $0.90 per share. The company has paid cash dividends each quarter and has raised its dividend each of the 20 years since becoming a public company in May of 1993. Our dividend is well covered with an FAD payout ratio for 2012 of 56%. At these levels, we are able to generate significant incremental cash flow over our dividend, which we plan to use to help fund our future growth or to reduce amounts outstanding under our lines of credit. I’ll now turn the call back over to Steve.
Steven B. Tanger: Thank you, Frank. I’m pleased to report that we continue to see positive base rental rates spreads for space renewed and released during the first quarter of 2013. This is in part a reflection of the performance of our tenant partners. Straight-line blended rental rate increased 21.2% on the renewal and releasing of space throughout the consolidated portfolio. Lease renewals accounted for 1,135,000 square feet or about 58% of the space coming up for renewal during 2013, and generated an 18% increase in average base rental rates. The remaining 294,000 square feet was released at an increase in average base rental rates of 32.2%, excluded approximately 61,000 square feet of space released during the quarter to magnet tenants to upsize existing high performing stores. Straight line blended rental rates increased 23.3%, and Tanger achieved an increase in average base rental rates on the remaining 233,000 square feet of released space of 46.5%. The excluded space represents approximately 4.3% of the total space renewed and released during the quarter. Net of this exclusion, we executed 303 leases totaling 1,368,000 square feet of renewed and released space. We believe that filling this space with sought after high volume brands will improve the quality of our portfolio in the long-term. Positive leasing spreads together with contractual embedded rental rate increases have resulted in same-center net operating income growth for 33 consecutive quarters. During the quarter, same-center NOI increased 3.9% as a result of both continued increases of rental rates and from higher average occupancy rates. At March 31, 2013, occupancy for our consolidated portfolio was 98%, up 70 basis points from 97.3% at March 31, 2012. Despite increased payroll taxes for all working Americans and the significantly colder weather in January and February, comparable tenant sales increased 2.3% to $380 per square foot for the 12 months end March 31, 2013 and increased 4.9% for the three months ended March 31, 2013. Excluding the eight consolidated properties impacted by Hurricane Sandy in the fourth quarter of last year, which represent approximately 2.7 million square feet or 25% of the consolidated portfolio. Consolidated comparable tenant sales increased 3.2% for the 12 months ended March 31, 2013. As is clear from our occupancy rate, there is high demand from the tenant community for space in Tanger centers. Tanger’s low cost of occupancy of 8.4%, along with continued growth in tenant comparable sales over the long-term have allowed us the opportunity to continue to increase rents while maintaining a very profitable distribution channel for our tenant partners. Tanger pioneered the concept of the ground-up outlet center in 1981, and has developed a reputation within the industry for having refined a skill set for developing, leasing, operating, and marketing high-quality outlet centers. The high demand for outlet space coupled with our reputation within the industry has afforded Tanger a robust external growth pipeline throughout the United States and Canada. So let me turn to development. recently, more of our development opportunities have been via joint ventures and we continue to get questions about this trend. Joint ventures are common in the real estate business, while we were preferred to develop projects that we own 100%. In our experience, the quality of any development and thus the ability to provide the best tenant mix is ultimately contingent upon the quality of the site. We are willing to partner with others in order to obtain the best site for our tenants in a given market. Our development pipeline is as deep it has ever been in our 32-year history. We currently have two projects under construction. We plan to open our ground-up development in the Washington, D.C. market at National Harbor in November, and to open a 20,000 square foot expansion of our highly productive center in Sevierville, Tennessee by the end of the third quarter. Our most recently completed project is an approximately 40,000 square foot expansion of our center in Gonzales, Louisiana that opened last month, adding great new brands to the center, including Ann Taylor LOFT, Brooks Brothers, J. Crew and Under Armour. I am pleased to announce that we have obtained the necessary permits and the tenant commitments to break ground on two additional projects in the next two weeks. On May 15, 2013, we will break ground at our Kanata site in Ottawa, Ontario. This 293,000 square foot outlet center will be our first ground-up development in Canada. On the following day, we will break ground in Cookstown, Ontario located 45 miles north of Toronto. This project will expand the existing outlet center, which was acquired in December 2011. The 320,000 square feet are approximately doubled its current size. Tanger and co-owner RioCan Real Estate Investment Trust, each own a 50% interest in these projects, which we currently expect to open by the end of 2014. In addition to these projects, we have good visibility on four new developments, and two expansions that we plan to deliver in the next 24 months. These include domestic projects at Foxwoods Resort Casino in Mashantucket, Connecticut, in Charlotte, North Carolina; in Columbus, Ohio; in Scottsdale, Arizona; and a small expansion of our center in Park City, Utah, as well as a small expansion of our Canadian outlet center in Saint-Sauveur, Quebec in the Montreal market. Two weeks ago, we announced our plan to form a partnership with the Peterson Companies for a proposed development of a new Tanger outlet center in Clarksburg, Maryland, located 27 miles northwest of Washington, D.C. and 36 miles west of Baltimore. This project is in the early stages of predevelopment. We remain optimistic about the growth prospects of our company and for our industry as shoppers continue to seek branded value. We believe the tenant community continues to indicate its desire to expand into new markets in the United States and Canada with Tanger as a preferred partner. With respect to earnings guidance, based on our current view of market conditions and trends, we are raising the low end of our previous guidance for 2013. We currently expect our estimated diluted net income will be between $0.77 and $0.81 per share, and our FFO will be between $1.77 and $1.81 per share. Our estimates do not include the impact of any rent termination fees, any potential refinancing transactions, the sale of any out parcels of land or the sale or acquisition of any properties. Our guidance includes a projected increase in same-center net operating income of approximately 4%, and is based on average general and administrative expenses of approximately $9.5 million to $10 million per quarter. We have over 2,700 leases with good credit, brand name tenants, who have historically provided a continuous and predictable cash flow in good times and in challenging times. No single tenant accounts for more than 6.6% of our base and percentage rental revenues or 7.9% of our gross leasable area. In addition, approximately 90% of our total revenues are expected to be derived from contractual base rents and tenant expense reimbursements. As we near the 20th anniversary of our IPO in May of this year, outlet shopping is fashionable and the Tanger Outlets brand continues to garner the respect of shoppers and retailers. The value proposition is embedded in the life style of today’s consumer and outlets are the natural destination of choice for branded apparel. The old outage is true. In good times, people love a bargain and in tough times like these people need a bargain. It is the value proposition that makes the outlet distribution channel profitable and sustainable for our tenants and for our company. And now I’d be happy to open the line for questions. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Todd Thomas from KeyBanc Capital Markets. Your line is now open.
Grant Keeney – KeyBanc Capital Markets: Good morning. This is Grant Keeney on for Todd. Looking to get some more color on the 61,000 square feet space that was released to magnet tenants, just given that, the portfolio is roughly 98% occupied, what centers did the leasing activity occur at and what were the circumstances given the situation where you might provide like a 20% or so rent concession to these tenants?
Steven B. Tanger: Well, there were several of our properties amongst them; Barstow, California; Sevierville, Tennessee; Gonzales, Louisiana, we have always tried to improve the productivity of each of our assets. The way to do that is to expand the highest volume tenants in our – in each of these centers and we will continue to do that. And over time, the productivity of the portfolio in each of these centers will increase. This is a consistent pattern that we’ve done for 30 years.
Grant Keeney – KeyBanc Capital Markets: Okay. Any – can you say who the high performing tenants were that are expanding?
Steven B. Tanger: We’re not going to identify the individual tenants, but you can assume that there are four or five of the highest volume tenants in the outlet industry.
Grant Keeney – KeyBanc Capital Markets: Okay, thanks. And then on the Clarksburg development, we’ve seen some local reports just about a nearby plot of land that was originally slated for healthcare I think like hospital or medical office said now appears to be slated for outlet shopping. Can you talk about potential competition in that market and just give us a sense for your confidence level about that project moving forward?
Steven B. Tanger: Every market is competitive. And this is – this will be a very high volume, very successful period for outlet shopping, and we have no doubt, there will be competitive sites. We’re going about the permitting and entitlement process now. We just announced the project recently and we are in what we call early predevelopment stages.
Grant Keeney – KeyBanc Capital Markets: Okay. Thank you. And then lastly on, just with ICSC coming up, what will be the primary focus of the team in Las Vegas and what are the top priorities heading to the convention?
Steven B. Tanger: We are a dynamic growth company. Our top priority is leasing our new development sites across the United States and Canada, and completing the renewals and returning of our existing properties.
Grant Keeney – KeyBanc Capital Markets: Okay. Thank you.
Operator: Your next question comes from the line of Christy McElroy from UBS. Your line is now open.
Christy M. McElroy – UBS Securities LLC: Hi, good morning guys.
Steven B. Tanger: Hi Christy.
Christy M. McElroy – UBS Securities LLC: Couple of questions on the development pipeline; regarding the construction in progress in the unconsolidated balance sheet, is all of that related to National Harbor and is the land in there as well or is the project on a ground lease?
Frank C. Marchisello: Are you speaking about the CIP within the…
Christy M. McElroy – UBS Securities LLC: Yeah, the CIP, the CIP in the unconsolidated balance sheet.
Frank C. Marchisello: Yes.
Christy M. McElroy – UBS Securities LLC: Brings about $11 million.
Frank C. Marchisello: Yes, that relates to National Harbor.
Christy M. McElroy – UBS Securities LLC: And is there a land in there.
Frank C. Marchisello: As well as the land, yes.
Christy M. McElroy – UBS Securities LLC: Okay. And given that they’re either sort of in progress or closed, can you discuss pre-leasing progress on National Harbor, Kanata and Cookstown?
Steven B. Tanger: Sure, at the National Harbor, we’re about 83% committed as of this time. We fully expect to be at or above 90% by November when we open. The other projects in Ottawa, we are north of 50% and that’s the target for us to begin construction. And in Cookstown, we are about 53% committed on the expansion also. So we’re going to move ahead with that.
Christy M. McElroy – UBS Securities LLC: Gotcha. And then just a follow-up on Clarksburg, was that a project that Peterson was working on already and brought you in or did you source the project together and since it hasn’t been added to the development schedule yet, I’m wondering if there’s any metrics that you can share with us like project a cost and timing, that type of thing?
Steven B. Tanger: We are in the very early predevelopment stages. The Peterson Company has identified this site and they’ve been working on it for quite sometime. We’re working with the local community trying to obtain the necessary entitlements and permits and we’re well along that process.
Christy M. McElroy – UBS Securities LLC: Great. Thank you.
Operator: Your next question comes from the line of Carol Kemple from Hilliard Lyons. Your line is now open.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: Good morning. Congrats on a nice quarter.
Frank C. Marchisello: Thanks Carol.
Steven B. Tanger: Thank you, Carol. It’s nice of you to say that.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: I noticed your Scottsdale project looks like square feet wise, it’s a little smaller than some of your centers you’ve done in the past. Is that just a function of so much retail in Scottsdale or what’s the reasoning behind the size there?
Steven B. Tanger: There is a very large 20-acre specialties retail going next to us. So we’ve consolidated our site to accommodate about 200,000 feet and it will be attached to the specialty retail.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: Okay. And then as far as new leasing in the outlet centers, are you seeing any particular different groups, maybe home furnishing or anybody entering the outlet centers that hasn’t been that active in the past year or so?
Steven B. Tanger: It’s reasonable to assume that as the housing market rebounds and family formation continues that there will be products associated with the home, linens, tabletop, furniture, so, yes. But again, we’re 98% or so leased with waiting lists of several or most of our properties. So it’s difficult to accommodate these tenants, but we are talking to them.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: Okay. Thank you.
Operator: Your next question comes from the line of Wes Golladay from RBC. Your line is now open.
Wes Golladay – RBC Capital Markets LLC: Hi. Good morning, everyone. Steve, I believe you mentioned in the past that there were 17 markets that needed an outlet center. Has this number changed at all?
Steven B. Tanger: Sure, Wes. That comment was made about two years ago. And there’s probably more markets now, as some of the 17 has been accommodated through the last two years of growth in our sector, we’ve identified more and more markets. We’re not going to quantify the number of markets. We think there is a tremendous opportunity throughout the country to expand outlet shopping. It is a very small sector of retail right now, but probably the highest growth area.
Wes Golladay – RBC Capital Markets LLC: Okay. Sticking with that, well, with the high occupancy in the centres and strong demand from retailers, can we have to see an increase in the size of future outlet centres?
Steven B. Tanger: We’re comfortable right now with the size of existing centers. It provides consumers with anywhere from 75 to 100 different shopping choices, the average size of our store is about 4,000 feet. We’re comfortable with that. We’d rather build that size center and keep it filled and highly productive than over build in a marketplace and have to put lesser quality folks in at lesser volume.
Wes Golladay – RBC Capital Markets LLC: Okay. thanks, Steve, and a nice quarter.
Frank C. Marchisello: Thank you.
Steven B. Tanger: Thank you very much.
Operator: (Operator Instructions) Your next question comes from Ben Yang from Evercore Partners. Your line is now open.
Ben Yang – Evercore Partners: Yeah. hi, good morning guys.
Frank C. Marchisello: Hey, Ben.
Ben Yang – Evercore Partners: When you look back over to the portfolio, say, over the past four or five years, your sales are obviously much higher today than they were back, Ben. But Ben, at the same time, your occupancy costs have stayed essentially flat. and I am sure the answer is probably at the mix issue. But is there any other reason your occupancy cost hasn’t really fallen very much as your sales have risen?
Frank C. Marchisello: Well, let me correct a few things, Ben, and good morning to you. Our occupancy cost five years ago was about 7.4%, and today, it’s about 8.5%. So that’s about a 15% increase in our occupancy cost. Our sales have grown and our tenants, because their sales have grown, are able to pay more rent. As we have mentioned numerous times, our target for new development leases is 10% to 11% occupancy cost, which is a fair price for the volume our tenants do. The tenants are the ones that decide whether or not they want to pay rent in a particular site and how much. We think that that’s a fair occupancy cost where the tenants do well and we do okay.
Ben Yang – Evercore Partners: Well, I’m just looking back in ‘09, your occupancy cost was actually higher than it was back when you reported in ‘12 and your sales are about 10 plus percent higher. So it’s not a bad thing, there is obviously still room for you guys to push a step higher, but it’s just a little interesting to see that, it hasn’t really fallen like certainly given the fact that, obviously, it takes some time for leases to roll for you to take advantage of the rising sales environment. But it doesn’t sound like there is anything kind of unusual going on, I guess, at this point?
Steven B. Tanger: I’m not going to answer a question of this one there.
Ben Yang – Evercore Partners: Well, I mean, it wasn’t really clear for you to kind of look back, what you said in ‘09, I mean it still looks like sales have kind of flat, I mean, your occupancy costs have kind of flattened out while your sales are risen, but and I guess maybe it’s just a timing issue at this point for you guys, for those metrics to kind of move in the direction you guys expected?
Frank C. Marchisello: Given the square feet, we have that comes up for renewal with contractual obligations. It is difficult to adjust occupancy costs overnight. We certainly do, do it over time, and I think our rental rate increases that we’ve been able to obtain historically show that we’re able to capture that embedded growth once we control this space.
Ben Yang – Evercore Partners: Great. Thank you.
Operator: And your next question comes from the line of Craig Schmidt from Bank of America. Your line is now open.
Katharine Hutchins – Bank of America Merrill Lynch: Good morning. This is Kathy Hutchins on for Craig. Just a question on the development of Columbus, [Simon] mentioned that there’s a very competitive market in Columbus with a lot of competing real estate, just wanted to know your perspective on the project there and what you’re seeing in the market?
Steven B. Tanger: It’s a very competitive market with a lot of competing real estates.
Katharine Hutchins – Bank of America Merrill Lynch: Okay. Thanks.
Operator: There are no further questions at this time. I’ll turn the call back over to the presenters.
Steven B. Tanger: Well, I want to thank all of you for participating on the call today and your interest in our company. Tanger is the only public REIT with a pure outlet portfolio. We have a conservatively structured balance sheet, high brand recognition and a tenured management team with a disciplined development approach. Our strong portfolio of geographically diversified operating properties has historically provided significant returns for our shareholders and we have a deep pipeline of external growth opportunities. Frank and I are always available to answer any questions you may have. Thank you again. Have a great day. Think outlets, think Tanger.
Operator: This concludes today’s conference call. You may now disconnect.